Operator: Hello, and welcome to the Franklin Electric Reports Fourth Quarter 2025 and Full Year 2025 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce Director of Investor Relations, Dean Cantrell.
Dean Cantrell: Thank you, Andrew, and welcome, everyone, to Franklin Electric's Fourth Quarter 2025 Earnings Conference Call. Joining me today is Jennifer Wolfenbarger, our Chief Financial Officer; and Joe Ruzynski, our Chief Executive Officer. On today's call, Joe will review our fourth quarter and full year business highlights. Then Jennifer will provide additional details on our financial performance, and Joe will make some additional comments related to our key growth and value drivers, along with our outlook. We will then take questions. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to various risks and uncertainties, many of which could cause actual results to differ materially from such forward-looking statements. A discussion of these factors may be found in the company's annual report on Form 10-K and today's earnings release. During this call, we will present both GAAP and certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in the appendix of our earnings presentation. All forward-looking statements made during this call are based on information currently available and except as required by law, the company assumes no obligation to update any forward-looking statements. Earlier today, we published a slide deck to accompany our prepared remarks. The slides can be found in the Investor Relations section of our corporate website at www.franklin-electric.com. With that, I will now turn the call over to Joe.
Joseph Ruzynski: Thanks, Dean, and good morning, everyone. Thank you for joining today's call. I'm excited to share the outcome of a year of great progress, transformation and strong results today. Let's start on Page 2. We had a strong Q4 and full year results in all segments. Sales were up 5.4% and segment operating income was up 9.6% for the full year, each representing high points for Franklin in both revenue and segment operating income. Our solid Q4 had our sales up 4.4% and operating income up 9.2%. We grew volume for the year, had strong price realization and managed a sometimes turbulent global market with focus. Our order book and backlog remain healthy as we move through -- move to 2026. Our cash conversion was 126%, representing our third year of cash conversion over 120%. Our balance sheet remains strong even as we completed about $120 million of acquisitions and $160 million in share buybacks. We've made some important changes in 2025 and are positioned well for 2026. If we move to Slide 3, I'd like to talk about some of these efforts. In 2025, we made some great progress, and I want to take a moment to thank our team for the focus, execution and leading through change. We'd like to share a few highlights that won't show up in our overall financial results. Starting with our priority to accelerate growth. While we serve our customers globally and in some dynamic markets, we saw strong results in each segment. We focused on our biggest opportunities and took share in many of our markets. We believe innovation and new products are a leading indicator for growth and added over 35 products that will deliver over $160 million in revenue by year 3. We are positioning Franklin as an innovation and growth company, and our team is ready. As we look at our margins, I'd first like to highlight the great progress in our Water treatment and Distribution businesses. Our Water treatment business is a key part of our Water segment. We entered this business in the past 5 years and exited 2025 at $200 million in sales. More impressive is our effort to make life easy for our customers and streamline this business as we serve them, which was highlighted by impressive sales growth and improvement of over 400 basis points operating margin in 2025. Also we began our Distribution business in the late '20 teens. We have grown this business to over $700 million with impressive services like our on-site inventory program, and leading portal technology to seamlessly order and communicate needs. We focused on efficient service business in 2025 while bringing new solutions to market. We've grown and improved our operating margin in this business by 210 basis points in 2025. Furthering our margin focus. In 2025, we added a key transformation element with the launch of our Value Acceleration Office. Here, we are using 80-20, smart AI and process engineering to streamline our portfolio, create powerful and simple internal systems, and manage costs more effectively. We expect strong contribution to our margins in the coming years based on this promising start in 2025. For investments in capital, we are known for great cash conversion and a strong balance sheet, but there is more we want to do. We have completed two important acquisitions in 2025 and added some smaller important deals at the end of the year. As we look to round out our right to win in important markets and regions, filling out our portfolio and reach will be our focus. We bought back about 1.8 million shares as we feel our future is bright. We have also increased our capital spending to make sure our investments position us for this growth. Finally, on talent. Our strong culture has been focused on treating our employees and customers the best in our industry. Our focus on attracting great talent and building our engine for the future will bring elements of collaboration, innovation and velocity to our everyday practices to prepare us for a fast-changing world. Our team is strong, ready for growth, and we are making it more resilient every day. With that, I'll turn the call back over -- I'll turn the call over to Jennifer to discuss the financial results in more detail.
Jennifer Wolfenbarger: Thank you, Joe. Moving to Slide 4. Our full year 2025 fully diluted earnings per share was $3.22 versus $3.86 for 2024. Diluted earnings per share for 2025 was negatively impacted by the pension settlement charge of $41.5 million, net of tax benefit or $0.91 of EPS, as well as $0.01 of restructuring charges in the year. Adjusted diluted earnings per share was $4.14 in 2025 versus adjusted 2024 of $3.92, an increase of 6%. The full year effective tax rate was 23.6% compared to 21.7% in the prior year. The change in effective tax rate was due to a mix of foreign earnings taxed at rates different than the U.S. statutory rate, as well as less favorable discrete items. Moving to Slide 5. Fourth quarter 2025 consolidated sales were $506.9 million, a year-over-year increase of 4.4%. The sales increase in the fourth quarter was due to the incremental sales impact from recent acquisitions and favorable price. Franklin Electric's consolidated gross profit was $171.5 million for the fourth quarter 2025, up from the prior year's gross profit of $164.2 million. The gross profit as a percentage of net sales was 33.8%, unchanged in the fourth quarter 2025, compared to the prior year as we offset the impact of higher costs from tariffs with additional price in the market, as well as volume growth in our Energy and Distribution segments. Moving on to SG&A expenses. We have seen a 70 basis point improvement in our SG&A as a percent of sales metric from year-over-year as a result of cost improvement actions taken in the last year. SG&A expenses were $119.6 million in the fourth quarter of 2025, compared to $117.8 million in the prior year. The increase in SG&A expense was primarily due to the additional expense impact of our 2025 acquisitions. Absent acquisition-related SG&A expense, the company experienced a decrease in SG&A expense year-over-year of approximately $3 million or 3%. Consolidated operating income was $51.6 million in the quarter, up $8.6 million or 20% from $43 million in the prior year. The increase in operating income was primarily due to price, productivity and SG&A cost management. Operating income margin was 10.2%, up from 8.9% from the prior year. The effective tax rate was 18.7% for the quarter, compared to 15.8% in the prior year quarter. The change in effective tax rate was due to a mix of foreign earnings, tax at rates different than the U.S. statutory rate, as well as less favorable discrete items. Moving to Slide 6. We will review our 2025 full year results. Full year 2025 consolidated sales were $2.1 billion, a year-over-year increase of 5.4%. This was driven by favorable price, organic volume growth in Energy and Distribution, and the incremental sales impact of recent acquisitions. Franklin Electric's consolidated gross profit was $755.9 million for the full year 2025, up from the prior year's gross profit of $717.3 million. The gross profit as a percent of net sales was 35.5%, unchanged in 2025 compared to the prior year as we offset the impact of higher costs from tariffs with additional price in the market as well as productivity savings. Full year SG&A expenses improved 50 basis points on a year-over-year basis, including the impact of acquisitions. Absent the impact of acquisitions, SG&A improved 130 basis points year-over-year, driven by structural cost actions taken in our Distribution and Energy businesses in the past year. Consolidated operating income was $269 million in 2025, up $25.3 million or 10%, from $243.6 million in the prior year. The increase in operating income was primarily due to price, productivity and cost management. Operating income margin was 12.6%, up 50 basis points from the prior year. Moving to Q4 segment results on Slide 7. Global Water Systems sales were up 4.3% compared to the fourth quarter 2024, driven by strong price and additional volume from our recent acquisitions. Water Systems in the U.S. and Canada were down 4% compared to the fourth quarter 2024, driven by softer HVAC markets in Q4. Water Systems sales in markets outside the U.S. and Canada increased 15% overall. Excluding the impact of acquisitions and foreign currency translation, sales in the fourth quarter of 2025 decreased 1%, led by higher sales in the European region, more than offset by sales declines in Latin America and Asian regions. Global Water Systems operating margin was $41.8 million, up $6.2 million or 17% versus the prior year. The increase in operating income was primarily due to higher sales and price offsetting inflation. The fourth quarter operating income margin was 14.3%, an increase of 160 basis points from 12.7% in the fourth quarter of 2024. Energy Systems sales were $74.7 million, an increase of $5.9 million, or 9% compared to the fourth quarter 2024. Energy Systems sales in the U.S. and Canada increased 6% year-over-year. Outside the U.S. and Canada, energy sales increased 19%. Energy Systems operating income was $22.6 million in the fourth quarter, compared to $24.7 million in Q4 2024. Operating income margin was 30.3% compared to 35.9% in the prior year, a decline of 560 basis points. Operating income margin decreased primarily due to the unfavorable geographic mix of sales and the impacts of tariffs. Distribution fourth quarter sales were $161.6 million versus fourth quarter 2024 sales of $157.2 million, an increase of 3%. The Distribution segment sales increase was primarily due to higher volumes and price realization. The Distribution segment's operating income was $5.3 million for the fourth quarter, a year-over-year increase of $4.8 million. Operating income margin was 3.3% of sales in the fourth quarter, an improvement of 300 basis points versus the prior year, driven by higher volumes, positive price realization and improved margins as a result of margin and structural cost improvement actions taken in the last year. Moving to full year segment results beginning on Slide 8. Global Water Systems full year sales were up 6% compared to 2024, driven by strong price and the addition of our two acquisitions in early 2025. Water Systems sales in the U.S. and Canada were up 3% compared to 2024. At a product level, sales of large dewatering equipment increased 7%. Sales of groundwater pumping equipment increased 1%. Sales of water treatment products increased 6%, and sales of all other surface pumping equipment decreased 1% compared to 2024. Water Systems sales in markets outside the U.S. and Canada increased 10% overall for the full year. Foreign currency translation was relatively flat on sales and recent acquisitions added roughly 10% to sales. Excluding the impact of acquisitions and foreign currency translation, sales for 2025 increased slightly, led by strong sales in the European region, somewhat offset by sales declines in Latin America and Asian regions as a result of soft market conditions. Global Water Systems full year operating income was $207.2 million, up $9.3 million, or 5.2% versus the prior year. The increase in operating income was driven by higher price and productivity offsetting inflation. Full year operating margin was 16.5%, a decrease of 20 basis points from 16.7% in 2024. The decrease in operating margin was driven by higher -- by acquisition-related costs. Moving to Slide 9. Full year Energy Systems sales were $299 million, an increase of $25 million or 9% compared to 2024. Energy Systems sales in the U.S. and Canada increased 8% year-over-year. The increase was broad-based and across most product lines, driven by strong investment in retail fueling stations. Outside the U.S. and Canada, Energy Systems sales increased 13%, led by increased sales in India and European markets. Energy Systems full year operating income was $99 million compared to $93.6 million, an increase of $5.4 million, or 6% versus 2024. Operating income margin was 33.1%, compared to 34.2% in the prior year, a decline of 110 basis points. Operating income margin decreased primarily due to an unfavorable geographic mix of sales, investments for growth in SG&A for new products and markets, and the impact of tariffs in the year. Moving to Slide 10. Distribution's full year sales were $700.7 million versus 2024 sales of $685.5 million, an increase of 2%. The Distribution segment sales increase was primarily due to higher volumes and price realization. The Distribution segment's full year operating income was $39.8 million, a year-over-year increase of $15.5 million, or 64%. Distribution operating margins expanded 210 basis points full year from 35.5% in 2024 to 5.7% in 2025, driven by margin enhancement initiatives as well as structural improvements made within the last year. Moving to the balance sheet and cash flows on Slide 11. The company ended 2025 with a cash balance of $99.7 million and with $30 million outstanding under its revolving credit agreement. We generated $239 million in net cash flows from operating activities during 2025 compared to $261 million in 2024. The company repurchased approximately 350,000 shares of its common stock in the open market for roughly $34.3 million during the fourth quarter of 2025. At the end of the fourth quarter, the remaining share repurchase authorization is approximately 0.8 million shares. On January 26, the company announced a quarterly cash dividend of $0.28. The dividend will be payable February 19 to shareholders of record on February 5. This represents a 5.7% increase from the prior quarterly dividend. This dividend will mark the 34th consecutive year that Franklin Electric has increased its dividend, demonstrating its commitment to returning cash to shareholders and confidence in the outlook of our business. Now I will turn to Slide 12, where I will share insight on our full year 2026 guidance. Beginning with 2026, we will provide guidance on an adjusted EPS rather than GAAP reported EPS. We believe these forward-looking non-GAAP measures more closely align with how management evaluates the business, reflect ongoing operational performance, and provide investors with additional useful information regarding our expected financial results. These non-GAAP measures will be presented in addition to, and not as a substitute for, the most directly comparable GAAP measures. Reconciliations to the corresponding GAAP measures will accompany our guidance disclosures. Turning to our full year guidance. The company expects its full year 2026 sales to be in the range of $2.17 billion and $2.24 billion, and an adjusted EPS to be in the range of $4.40 to $4.60. This puts our midpoint sales growth at just over 3% and our midpoint EPS at approximately 9%, reflecting commercial and operational momentum, and our commitment to continue to grow the business and expand earnings per share. Now I will turn the call back to Joe.
Joseph Ruzynski: Thanks, Jennifer. Please turn to Slide 13. Before we turn it over for questions, I want to share our view of the Franklin portfolio and position, and why we're positive about our future. We are in great businesses. As a flow control company focused on Water and Energy, our strategy starts with a clear view of the markets and where we can win. We see attractive markets where we can focus and grow faster. Our Water business is a leader in groundwater and water treatment, and we are positioned to capitalize on urbanization, the desire for high-quality water, increasing mineral demand and the exponential growth of computing power. Our Distribution business has built a reputation for delivering the highest quality products and a wide offering in groundwater, water treatment and wastewater. Our differentiation is the technology, service and support in how we execute every day. We use proprietary tools to manage inventory and information and our on-site inventory, or OSI programs, to ensure our service doesn't diminish to the farthest reaches of our regions. Our Energy business started with a focus on managing fluids, but has grown by harnessing data, information and energy in the most creative and simple-to-use ways in our industry. Our leading solutions like EVO and OVERSITE give our customers the confidence to run their business more efficiently and to get the best value out of their operations. Franklin has a long history of innovation, and we are investing and accelerating this. Our new product pipeline will more than triple these next few years, and we see this as a catalyst for growth. As efficiency and data requirements increase, we will be on the forefront with our solutions. Our opportunity to increase our return is significant, using our Value Acceleration model and our Value Acceleration Office, and Franklin Operating System, we are working through some key transformations that will continue this path of expanded and resilient margins. Our strong balance sheet enhances our ability to produce -- to provide strong returns to our shareholders while supporting our attractive list of M&A opportunities and investments. And finally, when you walk in the door at a Franklin site, or spend time with our team in the field, you will see a team that cares and a culture that values our employees as we work to grow, innovate and serve. We are an attractive business with some great room to grow and improve. I'd like to turn it back to Andrew for questions now before we -- before some closing comments.
Operator: [Operator Instructions] Our first question comes from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: I was hoping, maybe first, you could talk about when you look at kind of the revenue guide for the year, what type of organic outlook across the 3 segments would be implied in that guide? And of that, how much is volume versus price? And then I have a follow-up.
Joseph Ruzynski: Yes. If you look at -- for the Water business, we're looking at a number that's probably in the 3% to 5% range. From a price versus volume, so there's a bit of acquisition carryover. We didn't close those deals until end of Q1 last year. So there's a little bit of acquisition in there. And then there's a good blend between volume and price. We've passed on -- so this is for all 3 -- all of our segments, we basically passed on kind of standard price increases in the beginning of the year, and we see some good realization of those numbers. For the Energy business, growth looks over 3-ish percent. And as last year, a good mixture of probably a little more volume than price in that business, but we did pass on some price to recoup the tariff exposure that we saw at the end of last year. And then Distribution, if you look back the last few years, the price degradation based on some of the commodities has been part of our story. We've shifted to good price realization last year. Their growth was about 50-50 price in 2025. You're going to see about the same spread next year and that growth rate is kind of the 3% to 4% range for that business.
Matt Summerville: Got it. And then maybe just looking at it specific to Water, maybe dimensionalize it a little bit differently and do a bit of a walk around the key end markets and product lines within Water, and add a little bit of geographic overlay as far as demand expectations this year.
Joseph Ruzynski: Yes. Good question. So as we exited last year, there was really two soft spots in that Water business. Otherwise, we are on pace for good volume expansion. But the RSS business, which is about $150 million business, we saw HVAC weakness in the U.S. in Q4. That looks to have stabilized. Some of that was destocking of the channel. We've started the year at a nice spot. We expect growth in the U.S. kind of comparable to that rate that I talked about overall. The other softer spot was the Mexican market, and that looks like it has stabilized. There was obviously some pressure in that market in the middle towards the back half of last year. Those rates look to have come back. We expect more normal volume in that Northern Latin America region. If you look at the story kind of around the world for the year, we had good underlying growth in the U.S., Europe. Southern Latin America was a great story for us. So we see -- we don't see any spots that are going to have pronounced weakness. We saw strong growth, and some of this is due to some recent acquisitions over the past few years in the South Asia, the Pacific region. And then Asia is relatively small for us, but we expect it to be fairly stable. So there's really nothing that we see continuing. I would say -- I would call out in the U.S. that groundwater business, residential business and then the fleet, or the dewatering business, all seem to be on track here as we start the year. And based on our forward look, there's really nothing that sticks out that tells us there's going to be weakness. We have not baked in any housing recovery in our numbers. So just to call that out as well.
Operator: And our next question comes from the line of Ryan Connors with Northcoast Research.
Ryan Connors: Jennifer, you mentioned HVAC as a headwind in fourth quarter. And if I heard you right, drove, I think, a 4% decline in U.S., Canada in Water in 4Q. Can you just unpack that for us a little bit, specifically what that is, and how long that's expected to last?
Jennifer Wolfenbarger: It was really kind of a little bit isolated to -- what we saw was really isolated to the back end of Q4. And I think you would have seen that a similar sort of trajectory in some of more of the HVAC industry. It was a little bit softer towards the tail end. We have -- we do expect that, that should normalize, and we're seeing a little bit of that normalization coming through in here in January. We really feel like that was kind of isolated to the end of the year.
Ryan Connors: Got it. Okay. And then, Joe, you mentioned just there the outlook for large dewatering still very solid heading into 2026 here. But 7% was the growth rate you cited in fourth quarter. That was coming off a pretty easy comp from a year ago. I think it was down 30-some percent in the prior year. So any color around why a little bit of a deceleration there in 4Q in large dewatering?
Joseph Ruzynski: Yes. I think part of it is just as it's a capital spend, you tend to see a little bit of a pause at the end of the year. Obviously, we saw that in '24. We saw a little slowdown in 2025. We can see the orders. I mean that business looks healthy for us here in 2026. We can see the orders a little further in that business than some of our other areas. So the backlog is healthy. We look -- we had a nice bounce back year last year. And as we've talked about before, that tends to run in 18- or 24-month cycles. So a strong year last year. That growth won't quite be the same because we had a good year last year, but the outlook looks healthy in that dewatering fleet business.
Ryan Connors: Got it. Okay. And then just one last one for me. On Energy, you talked about the tariff pass-through being a bit of a headwind, or a big contributor, I guess, to the headwind in margins for Energy Systems. Any color around why that's proven more difficult in that business than elsewhere and the outlook there as well for '26?
Joseph Ruzynski: Well, there was two parts of the margin in Q4 for that Energy business. One is, I think Jennifer commented almost 20% international growth. We've been working on a growth plan in the U.S. -- or I'm sorry, in Europe and in India, largely some other regions as well. So I think part of it was mix. From a tariff standpoint, we had basically planned to stick with our price increase process. We had raised some price in -- end of Q1, beginning of Q2 for some of the shorter-term tariffs. And then we did another increase in December. We knew there was going to be a little bit of a timing issue there, and I think that's what you saw in Q4. Price realization for that business, Energy is expected to realize another 1.5% to 2% price increases this year with some of that carryover from last year. We see good realization. The market has generally accepted it. So you're going to see those margins bounce back. We expect the Energy margins to be up slightly this year versus last year. So we're back on that track of those mid-30 margins and the price increase will get us set here as we get into the year.
Operator: And our next question comes from the line of Bryan Blair with Oppenheimer.
Bryan Blair: I was hoping you could offer a bit of color on Barnes and PumpEng integration, how the deal plans are progressing there? How your team is thinking about incremental P&L contribution in 2026? And then how your M&A pipeline overall looks entering the new year?
Joseph Ruzynski: Yes. Maybe to start with Barnes and PumpEng. The PumpEng deal is on, I would say, ahead of track. That kind of the mineral space, the dewatering space for us has been a good growth area. Small as a part of our overall portfolio. But what we found is the integration has been relatively smooth. Those products are needed. As we've brought a bigger portfolio to market in some of those regions and those markets for dewatering, we found further opportunities. So we're excited about the backlog as well. So the growth synergies there seem to be reading out and '26 looks like a good year. The Barnes deal, there was two things, I would say. One is from an integration standpoint, we feel good about that progress there. The company is well integrated. We like the products. We like the regions. Their second biggest market was the Mexican market. So in terms of the growth and the readout of some of that model, we're probably behind a little bit there just because the kind of the recessionary market shrinking environment in Mexico in the back half of last year definitely put a little bit of a longer process there in terms of us seeing that readout. Conversely, though, it looks like it's stabilized here as we exited the year kind of the very end of the year, December into January. So we don't have some of those same headwinds that we had in the back half of last year. I would say for the overall M&A pipeline, probably what you're hearing from a lot of our peers is the market looks to be busy this year. I think there's a little bit of stability. Hopefully, the tariffs and the disruption and some of the uncertainty is a little bit more, let's say, known. Obviously, we live in a pretty crazy world here. But the pipeline looks healthy. And our approach is basically, I think as I mentioned on the call, is we're looking at our portfolio. We're looking at our right to win and where we can round out from channel-geog, or if there's specific products that help us go faster. We got some -- we have some good ideas. Obviously, we're still in a healthy leverage spot from a balance sheet standpoint. Our Biz Dev team and the folks that are looking at that are definitely busy. So we expect some good progress. Had some good small deals at the end of last year, but we're looking for deals that can give us a little more impact here in 2026.
Bryan Blair: Understood. Appreciate that color. And it would also be great to hear a little more on the Value Acceleration Office. One, I like the ring of that. But that being said, respecting there are -- these are CI type initiatives, so some of the framework would already be in place. When was the program or office formalized? How much near-term impact should we expect from Quad 4 actions in terms of 80-20 implementation? And is the plan, at least over time, to offer discrete targets for transformation savings or margin level?
Joseph Ruzynski: Yes, it's a good question. We actually -- we built the office governance kind of seeded it with the opportunities through our strat development process, kind of starting the middle of last year. And we looked at transformation a couple of different ways. It is CI, but I'd say it's more than that. A company like Franklin that has grown acquisitively over the last decade plus, we saw a lot of opportunities for just good old-fashioned process reengineering, back-office alignment, making sure that as we look at global launches of products that we have all cylinders firing and we get those on time, on budget and we get them to our market. So we talk a lot about scale and velocity. There's a growth element to the Value Acceleration Office, which you won't find, I would say, in some of the other 80-20, kind of, traditional CI type transformation offices. And we like that. I would say from a productivity and efficiency and a benefit standpoint, our expectation is some of those projects we've actually got up running. Some of them are completed. We expect readout this year of that. We have some of that baked in our plan for expanded EPS here, but we think that there's opportunity to do more. So yes, we're excited about it. We've got it staffed. We've got a new AI director that started here in Q1 and a leader for that office. Yes, so it's a little bit homegrown, but it's something that given my history, and the history of some of the other officers, we like how we put it together. And it's been -- we've got a lot of hands raising to participate, which is what you want in this. So yes, more to come on that, but we expect some good readout this year and in the future.
Jennifer Wolfenbarger: Bryan, I just want to emphasize a point Joe made, the value acceleration, the nomenclature there is critical because it is more -- it's definitely more than just cost improvement, the typical 80-20. It's about leveraging technology. It's about finding opportunities to leverage technology to drive leverage, but also growth is really key to that. So definitely a differentiator, I'd say, than what you would see in the typical 80-20 space.
Operator: And our next question comes from the line of Mike Halloran with Baird.
Michael Halloran: Just a quick follow-up to that. Where do you see the most opportunities when you look across your product segments, across the 3 segments, but more at the product line level as you're implementing the strategy?
Joseph Ruzynski: The opportunity to make some improvements or the opportunity to grow?
Michael Halloran: Yes, it was related to Bryan's last question, right? So it's just when you take this value-driven approach, where do you see the most opportunities at a product -- on a product line basis to really drive value? Whether it's commercially at the margin line, just what specifically do you -- where specifically do you see the most opportunity?
Joseph Ruzynski: Yes. I think maybe a couple of areas. One is if you look at our kind of our core submersible business, we're obviously producing motors, pumps and assemblies in all regions. There is some overlap of that portfolio where we've got product that can essentially do the exact same thing that we don't need to be producing, the number of SKUs and in the multitude of locations that we are today. So one example, Bryan, is if you look at we're -- and I think we called this out in 2025, we're making some investments in our sites in Turkey and India, is to basically bring together some of the similar SKUs to come up with common platforms to be able to serve wider regions. And there's more for us to do there. I would say as well, from an acquisition standpoint, if you look at some of the ones that we did -- or that we've done recently, we talked about PumpEng. We did Minetuff before that. There's some overlap in those products and making sure that it's clear to our customers in terms of what you're trying to do, the application that you're trying to support and the product that we have to serve it. There's some alignment opportunity there, which will bring efficiency. It will bring margin, but also it will bring the productivity in terms of our operations to be able to serve. Here's another maybe non-product answer to that. If you look at our Water treatment and our Distribution business, just the effectiveness of how we serve our customers, getting true hub and spoke, getting logistics that are streamlined. We've done a lot of work with our partners to make sure that we can not only serve our end customers, but we do it as efficiently as possible. It's how many times we touch that product, how many miles we cover to get that product to our end customer. So we've gone through some streamlines, some rooftop consolidation based on acquisitions in the past few years. And we find our service metrics. We actually had an internal service metric that set a record for us this year in terms of fulfillment rates and on time. We see further opportunity to do that. So it's not just in the product, it's also in how we serve our customers. And I think there's opportunities in both spaces.
Michael Halloran: And then two quick guidance-related questions. One, partially a follow-up to Matt's original question. How does sequentially -- how do the sequential patterns work out through the year relative to normal seasonality? Or is there any nuance to that? And then the follow-up to that would be somewhat related, I suppose. You talked about margins up a little bit on the fueling side. Any sense for how the other couple of segments track on the margins inside your guidance?
Jennifer Wolfenbarger: Yes. So we -- in terms of just the seasonality, I'll address that one first. We expect the typical seasonality that we see in our business throughout the year. As you do -- as you look at it across our guide, we are expecting growth in terms of good price realization, volume growth across all quarters, but following that typical seasonal pattern where we're a little bit lighter in Q1 and Q4, and more of our peak periods in Q2 and Q3.
Joseph Ruzynski: But growth across all quarters. We're not -- there's not a back-end or front-end load here in terms of our performance. I think normal seasonality, but consistent growth across all quarters, so.
Michael Halloran: And the margin question. You gave some guidance on fueling up year-over-year? How should I think about the other two segments on the margin line this year?
Jennifer Wolfenbarger: Yes, similar across all of our segments, we're projecting growth, margin expansion across each of the segments, including Energy. We had said, kind of, we landed the year last year with energy in the low 30s. We expect some growth in that space in our energy business in terms of margin expansion year-over-year, but still kind of maintaining that low to mid-30s, as Joe mentioned earlier.
Joseph Ruzynski: And you're going to see, Mike, a continued focus on that Distribution business. Obviously, they took a nice step forward last year. There's a number of underlying initiatives to get those efficiencies, some of which we talked about is related to the VAO, but probably margins expanded a little bit more there. Energy and Water, maybe slightly less than that. But those distribution margins, I would expect another 70-plus basis points expansion there. Water and Energy may be slightly under that in that space.
Operator: Our next question comes from the line of Walter Liptak with Seaport Research.
Walter Liptak: I'll try on 80-20 too. I remember about 5 years ago, there was a presentation about 80-20 that was done by one of your leaders. And so it seems like you guys have been doing that for a while. I wonder if you could talk about maybe what inning you're in and where 80-20 is -- which segments have done the most sort of 80-20 work? And what's the next focus?
Joseph Ruzynski: Yes. I'd say, well, most of the 80-20 opportunity for us exists in that Water Systems business. That's where the design, the manufacturing, the global footprint for operations is there. In the -- just in the Energy space, it's a fairly focused business. They've gone through and have a very streamlined portfolio, I would say. So some of the adds there are really bringing new products to market. In the Water space, from an 80-20 standpoint, I would say we're in the first 3 innings or so, a baseball game term there. There's more for us to do. And I think what -- the work that's been done there thus far is looking at what are some of those fractional, what are some of those small sizes that don't sell a whole lot. We've done the same work that other companies have done to make sure that our portfolio is clean. We can basically solve your problems with smart drives with VFDs versus having the proliferation of motor sizes and pumps, et cetera. So there's been some good work done there. There is more for us to do there. What's been fun for me to see here over the last couple of years, we've talked a lot about new products. If you look at our new in-line spec pack and our VR spec pack, some of the new boosting technology and also some of the new work that we're doing in terms of bringing products to market post acquisition is using those opportunities to clean up that legacy portfolio. So it's taken us a little bit longer. We didn't go just through an exercise of cut and a line. We've kind of been doing, let's launch a new product and let's clean that portfolio up. So I would say there's a good set of opportunities in front of us to see more of that benefit here over the next couple of years.
Jennifer Wolfenbarger: Distribution, also great work there. I mean really great progress across our teams in Distribution across 2025, with still more opportunity to continue to expand margins into 2026 with the work that we've done on SKU rationalization. Buy better, spend better, as well as [indiscernible] pull-through within that business.
Joseph Ruzynski: Yes. Maybe just to add to that. I think 80-20 from a Distribution standpoint, probably not a lot of companies talk about it. But Jennifer, we've gone -- we've had a 2-year effort of normalizing all of our part numbers to make sure that if it's a comparable part, a similar application that we're consolidating that, which helps us in a couple of ways. One is for inventory and movement of product, but the other one is the upstream negotiation with our suppliers to make sure that we're getting the best price and bringing that through. So that's been -- that's taken us a bit of time, especially as we've continued to acquire over the last few years. But we hit a good milestone in October this year of getting those part numbers aligned and furthering that work upstream.
Walter Liptak: Okay. Great. And then the fueling outlook is -- looks pretty good for this year. One of your competitors, though, talked about the growth rate being higher than what you presented. I wonder if you could talk about above ground versus below ground. And any, I guess, timing of projects or visibility of projects?
Joseph Ruzynski: Yes. I think the build schedule looks good this year. I don't want to comment on our peers' outlook, but there's two things that we're really looking at here. One is we can see the build schedule for most of our major partners, and it looks positive. So I think that growth rate there -- we obviously overdrove what our projected growth rate was for 2025. I think those opportunities exist. Given the capital market and sometimes unpredictable schedule in terms of capital deployment, we want to be careful there. We do see the international market strong, and we see the U.S. market strong as well. So I think that those mid-single-digit growth rates that we see for Energy, it should be another nice year and a strong year for that business. And then below the ground versus above the ground, maybe just a comment. If you look at new products that we've launched here in the last year or so, we've talked about OVERSITE and EVO ONE and some of those other new products. I would say above ground is probably going to be a little bit stronger. We also see that grid business, small, but having another good year with some of the new products and new channel that we're expanding there too, so.
Operator: I'm showing no further questions. So with that, I'll hand the call back over to CEO, Joe Ruzynski, for any closing remarks.
Joseph Ruzynski: Thanks, Andrew. And if you could please turn to Slide 14. 2025 was a strong year, and our outlook for 2026 is positive. We look to build on our momentum of transformation, innovation and growth to address our best opportunities in 2026. We're confident in our strategy, and we like the businesses we're in. Thanks, everyone, and have a great week.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.